Operator: Good day, ladies and gentlemen, and welcome to the ExlService Holdings Q1 2016 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. Steven Barlow. Mr. Barlow, you may begin.
Steven N. Barlow - Vice President, Investor Relations: Thank you, Sherry. Hello, and thanks to everyone for joining EXL's first quarter 2016 financial results conference call. I'm Steve Barlow, EXL's Vice President of Investor Relations. With us here today in New York is Rohit Kapoor, our Vice Chairman and Chief Executive Officer and Vishal Chhibbar, our Chief Financial Officer. We hope that you've had an opportunity to review our quarterly press release we issued this afternoon. We have also updated our Investor Factsheet in the Investor Relations section of EXL's website. As you know, some of the matters we'll discuss in this call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligation to update the information presented on this call. During our call today, we may reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliation of these measures to GAAP can be found in our press release as well as on the Investor Factsheet. Now, I'll turn over the call to Rohit.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thank you, Steve. Good afternoon, everyone, and welcome to our first quarter 2016 earnings call. We are very pleased with our performance in the first quarter of 2016. We continued to build on our strong momentum from 2015 and are now well positioned to meet our goals for 2016. We generated revenues of $167 million in the first quarter, up by 16.4% year-over-year on a reported basis and by 18.4% on a constant-currency basis. Adjusted EPS increased by 37% to $0.56 per share. Our Analytics business delivered market-leading growth of over 40% on an organic basis and continued to improve its margin. In Q1, we won 11 new deals, eight in Operations Management and three in Analytics. The demand environment for our services remains strong. Our clients are striving for growth and profitability in the face of emerging technologies and competition that are disrupting existing business model. We observed great urgency by our clients to enhance profitability and to build an agile operating model. In such an environment, our relevance and attractiveness as a strategic partner is extremely valued. This is because of our capabilities in A, driving customer centricity in a digital world through our frontrunner capabilities in Analytics, and B, designing and running best-in-class operations that integrate automation and embed real-time analytics through our proprietary framework, Business EXLerator. We feel confident that this two-pronged approach to helping our clients transform their business is differentiated due to A, our domain expertise that is deep and cohesive. This helps us create and deliver solutions to our clients that are effective, relevant and easily integrated into their business. And B, our early and significant investment in building our Analytics practice, including the acquisition of RPM. This has enabled us to effectively address our clients' growing needs to enhance customer experience, and develop sharply targeted solutions. An example of how we integrate our domain expertise and Analytics into a transformative solution is the work we are doing with a leading remote patient monitoring company. The company offers solutions, that allow providers and health plans to monitor vital signs and activity across several chronic conditions. We analyze the monitoring data to understand the patient population and identify those members, who are most at risk for unnecessary emergency room visit or hospitalization. Next, we design a range of interventions that need to be undertaken to assure that the patient is safe and to coordinate care that leads to an improved health outcome. Beyond designing solutions, we have the capability to work with providers and health plans to execute on these interventions, leveraging our team of clinicians and our care management technology platform. Next, let me give an example of how Analytics is helping us differentiate, while enabling our clients become ultra-customer centric. For banks a key need is the capability to integrate customer data across multiple products, transactions, and channels. While working with a top five Asian Bank, our data scientists have developed real-time recommendation that enable cross sell of products like cash advances, credit cards, and insurance to existing bank customers. This was done using complex machine learning models, which used a 360-degree customer data view and was developed by our data integration team. Now let me provide a quick update on the progress we have made against the goals of 2016 which I shared on our last earnings call. Number one: win new deals to sustain growth momentum. We won a large deal with an existing finance and accounting client to be their strategic partner as they execute on a global finance transformation program. They are looking to standardize their processes, adopt global best practices and leverage the power of analytics to drive effectiveness in the finance function. We also won a strategic mandate from an existing healthcare client to deliver bilingual contact center services out of new center in Bogota, Colombia. Additionally, we continue to focus on providing excellent service delivery to our existing clients and manage smooth transitions for our recent strategic deal wins. We believe that the ramp up from our existing and new clients will provide strong growth in the second half of the year. Number two: leverage cross sell to expand existing client relationships. As our clients look to EXL to help transform their business, we have been able to win or expand our relationship across multiple lines of business at EXL. These include industry specific operations management, finance and accounting, analytics, BPaaS and consulting. One example is our successful growth cross sell of RPM's marketing solution to existing insurance client. We leveraged our marketing database and our proprietary targeting models to indentify suitable prospects for the insurers. This is a key achievement as it validates one of the core reasons for acquiring RPM, which is to have a compelling value proposition for the marketing organizations at our insurance clients, while being able to effectively monetize our data IP. We remain excited by the opportunity to expand this marketing capability to other industries and potentially new geographies. Number three: make investments in technology and capability. We recently released Care Radius 3.1, EXL's cloud based total population health management platform. The platform's continuing evolution including embedding Analytics strengthens our ability to offer it as a service on an outcome-based model. The newest release will enable our clients to improve performance and delivery of total population health management, consumer engagement, star rating and Medicare risk adjustment factors. This morning we announced our partnership with Automation Anywhere which strengthens our suite of emerging technology solution. Automation Anywhere robotic platform complements EXL's proprietary automation solution and when combined with our domain expertise and ability to embed analytics, these advanced automation solutions deliver significantly higher business impact to our client. We have also invested in building a dedicated team of 40 plus advanced automation and robotics experts, solution architects and implementation analysts who will enable us to seamlessly integrate these solutions into our clients' infrastructure. Similarly, in Analytics, we continue to make progress on developing analytical products. Our portfolio of analytical products spans operations, sales, marketing, risk and compliance. Our analytical products will have the following three features: A, scalable solution for industry-specific problem; B, combination of our Analytics capability and domain expertise in an easy to deploy solution; and C, minimize upfront costs with the usage or outcome driven payment model. Our fourth goal was to continue to focus on margins. This quarter, on a year-over-year basis, we increased our adjusted operating margins by 120 basis points. This will continue to be a key focus area for us as we make additional investments in our capabilities, while simultaneously optimizing cost structure. We have a dedicated team in place to drive this important strategic initiative. Next, I will give some color on our prospect pipeline. Our pipeline is extremely solid in insurance, healthcare, finance and accounting, banking and Analytics including some large strategic deals. We have built a good pipeline in Australia, and are seeing interest from clients to leverage our new delivery geographies in Colombia and South Africa. Our ability to respond in a fast and agile manner with domain specific solutions that seamlessly integrate with existing infrastructure is resonating very well with clients who are looking for tangible and real benefits from leveraging a strategic partner. We have the attention of the C-suite and are engaged in multiple strategic conversations with existing clients and new prospects. We continue to invest in upgrading the talent and effectiveness of our front-end teams, including the hiring of a senior sales leader in healthcare. To conclude, I would say that it has been a good start to 2016. We need to remain focused and vigilant in order to navigate this disruptive business environment, while continuing to help our clients succeed. We are executing on our strategic priorities for 2016 and remain confident of achieving our goals for the year. On that note, I will turn the call over to Vishal.
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: Thank you, Rohit. And thanks everyone for joining us this afternoon. I would like to start off by providing insight into EXL's financial performance in the first quarter, followed by guidance for the full year. Revenues for the quarter were $167 million, up 16.4% year-over-year, or 18.4% on a constant-currency basis. Organically, excluding RPM, EXL grew revenues at 8.2% or 10.2% year-over-year on a constant-currency basis. Sequentially, we grew 0.7% or 1.4% on a constant-currency basis. This marks the fifth consecutive quarter of sequential quarter-over-quarter organic constant currency growth. Both our reporting segments continue to grow. Operations Management revenues were up 3.4% year-over-year or 5.6% on a constant-currency basis, despite softness in our consulting business. Operations Management excluding consulting grew 8.1% year-over-year on a constant-currency basis. This growth was led by clients from our healthcare, TT&L, banking and financial services verticals. Sequentially, Operations Management revenues declined by 0.4% on a constant-currency basis, primarily due to consulting which was down approximately 12%. Operations Management excluding consulting was up 1%. Analytics, which now represents 23% of our total revenue, continued its strong growth momentum and had an outstanding quarter with revenues up 98.2% year-over-year or 99.7% year-over-year on a constant-currency basis, including the full quarter of RPM. RPM generated revenues of $13.1 million for this quarter. Typically the first quarter for RPM is the strongest due to the ramp up in marketing activities in the beginning of the year. Organically, revenues grew at 40% year-over-year or 41.6% on a constant-currency – continue to build on last year's strong organic growth. This revenue growth was led by clients from our insurance, healthcare, utilities, and banking and financial services verticals. Sequentially, Analytics grew 7.7% on a constant-currency basis. In the second quarter, we expect RPM revenues would taper slightly which may result in a sequentially flat second quarter for the Analytics segment. Our top 10 client concentration continue to decline as a percent of total revenue and was 40.5% in Q1, compared to 43.9% in Q1 of 2015, which is due to our expanding client base and revenue base. Gross margins remain flat at 35.1% year-over-year. This was driven by lower utilization in consulting and investments in new geographies, offset by an FX tailwind and improved utilization in Analytics business. SG&A expenses for the quarter were 20.4% of revenues, down 40 basis points year-over-year. This was driven by lower G&A expenses owing to FX tailwinds and improved operating leverage, which was partially offset by higher sales and marketing expenses. Adjusted operating margin improved 120 basis point year-over-year to 15%, driven by FX tailwinds, improved utilization and analytics and improved operating leverage, offset by lower utilization in project-based business. Sequentially, adjusted operating margins improved by 30 basis points due to the operating leverage. Adjusted EPS for the quarter was $0.56, up 37% year-over-year driven by strong revenue growth and improved operating margins as mentioned earlier. Turning to other financial metrics. DSOs were 58 days compared to 50 days last quarter and 53 days in the first quarter of last year. FX gains were $500,000 and we expect the FX gains for the year to be in the range of $3 million to $4 million. Our adjusted EBITDA for the quarter was $30.4 million, up 23% compared to $24.8 million a year ago. Our balance sheet remains strong with $192 million of cash. Our net cash position at the end of Q1 was a healthy $127.9 million after spending during the quarter for $8.5 million on capital expenditure, $6.9 million on share repurchases and $5 million for repayment of our revolver at the end of March. Looking at some other key operational metrics. We ended the quarter with a global head count of about 24,400 people, which was up 8% year-over-year though, whereas our total revenues were up 16% underscoring increasing non-linearity of our revenue model. Now, let me comment on a guidance for the year 2016. Based on our currency visibility and a rupee to U.S. dollar exchange rate of 67 and other currencies at the current exchange rates, we are pleased to raise the low end of our guidance by $4 million to revise our revenue guidance to $694 million to $706 million, representing an annual growth of 12% to 14% on a constant-currency basis, and a $2 million increase at the midpoint. This revenue growth outlook is driven by continued strong momentum in Analytics, strong pipeline in Operations Management, and the insurance, healthcare and TT&L vertical, coupled with a clear visibility on existing client ramp. We expect sequential revenue growth of around 2% in Q2. In line with our historical performance, we expect our adjusted operating margin for Q2 to be lower than Q1 due to annual wage increments and revenue seasonality. We expect Q2 adjusted EPS to be lower than Q1. However, our full year adjusted EPS guidance remains unchanged at $2.25 to $2.35. Our priorities for free cash flow in 2016 will be to make acquisitions that expand our capability set, invest in our business and operations to support our growth trajectory and to repurchase shares under the board approved plan. In conclusion, we had a great start to 2016, delivered revenue growth of 18% on a constant-currency basis, and we remain confident about the rest of the year. And now, Rohit and I would be happy to take your questions. Thank you.
Operator: Our first question comes from Dave Koning of Baird.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yes. Hey, guys. Great job again.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thanks, Dave.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yes. I guess one thing, the Analytics business continues to do so well. You've talked before about how much is recurring in there, and I guess maybe you can refresh us on that, and if the base – the Q1 base, if it's highly recurring, if you just expect that to continue to grow from the Q1 base or if there was a little bit of lumpiness in Q1?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure, Dave. Our Analytics business has about 65% of its revenues which is on an annuity format, which means we've got contracts that have been signed up for a period greater than 12 months. We do expect these revenues to be not only recurring, but continuing to build and grow from their existing base right now. As you know we acquired RPM and RPM has been integrated into our Analytics segment, and RPM has a high seasonality in Q1 due to our clients wanting to increase their spending on customer acquisition activities in the first quarter. We would expect the RPM revenues to come down somewhat in Q2 due to this seasonality, and because RPM is included within the Analytics segment, the growth of the Analytics business from Q1 to Q2 is going to be minimal or flat as such.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay. Great. And then I guess, if you look at the RPM business and then your own core businesses, even one of them growing faster than the other or are they both kind of in that same roughly 40% year-over-year growth?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Dave, our expectation is for the Analytics business in total to grow at between 20% to 25% on a year-on-year basis. The 40% growth rate that we got in Q1 was based off a much lower comp that was there in Q1 of 2015 for our core Analytics business excluding RPM. The growth rate of the RPM business is slightly lower than our traditional Analytics business, and on a combined basis, our expectation remains that the Analytics business will grow at about 20% to 25% year-on-year.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay. Great. That's great color. Thanks so much.
Operator: Thank you. Our next question comes from Joseph Foresi of Cantor Fitzgerald.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. So, just in the Operations business, what was the headwind in consulting? Is that a temporary thing? And I think you've given some color on what that business looks like for the rest of the year. How does it look – how does that color look like as we head to the rest of the year?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure, Joe. The consulting business for us traditionally has a slow start in Q1, and we've seen this happen multiple times each year. And this year was no different where there was a softness to the consulting business. This is a business which is completely discretionary. So it is dependent upon our clients' ability to engage with us using these dollars from their budgets. Today, consulting represents less than 8% of our total revenues, and the kind of work that we end up doing in consulting actually is such that we think there's going to be a recurring need amongst our clients and it's also going to be something that's extremely important for us to be able to work with our clients as they think about transforming their business model. Most of the work that we do in consulting revolves around compliance and regulatory compliance, operational readiness and operational effectiveness as well as some new work that we started to do around in the digital area. So these are all areas that we anticipate are going to be continuing to remain relevant and important for our clients and we do think that our consulting business is going to bounce back but probably in the second half of the year as opposed to the first half of the year.
Joseph Foresi - Cantor Fitzgerald Securities: Okay. And then I'd asked about the – I think you'd given some rough growth expectations for that business, the Operations business, are we still holding to those growth expectations for this year?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes, so the Operations Management business which is our core Operations Management business excluding consulting, we expect that to grow at 8% to 10% year-on-year.
Joseph Foresi - Cantor Fitzgerald Securities: Okay.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: And that growth rate is pretty much intact. We've got a number of existing clients and new clients that we are ramping up on. All those executions are proceeding quite nicely and on schedule and we would expect the revenues associated with these new client ramp-ups and existing client ramp-ups to provide us with the revenue benefit in the second half of the year.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. And just as my follow-up. On the F&A side, you mentioned a large deal win, was that a takeaway from a competitor and is that the large deal that you're talking about that we see sort of ramping in the processes in 1Q?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: The F&A win is actually a ramp up of an existing client relationship, and this is new work being outsourced to us where the client is thinking about this in a much more global and transformative way. It isn't something that we've taken away from another competitor, instead it is work that has been outsourced for the very first time. And it is something which is under transition currently, and again we would expect the revenues from this to kick in, in the second half of the year.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. Thank you.
Operator: Thank you. Our next question comes from Anil Doradla of William Blair.
Anil Kumar Doradla - William Blair & Co. LLC: Hey, guys. Congrats from my side, too. Couple of questions, Rohit, when you talked about the pipeline, obviously, you're pretty bullish and pretty much you listed out most of the segments, but if there is any one particular area that you feel perhaps a little bit more bullish from a pipeline point of view which one would you say it would be?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes. Thanks, Anil. The pipeline is actually very strong, and we think it's very broad based. The discussions that we have with our prospects many of them are strategic in nature, and large value deals. Many of them have progressed very nicely where we are move towards the final stages of evaluation. And we do feel very good and confident about the prospect pipeline. The one area which seems to be resonating extremely well for us is actually the insurance industry vertical. We are seeing our clients and prospects in the insurance industry vertical look at large transformative deals for themselves, and again EXL is very well positioned to win some of these deals, and these would be multiyear deals that we would be able to win and provide growths to the company.
Anil Kumar Doradla - William Blair & Co. LLC: All right. That's pretty interesting, you bring up some of the insurance stuff. We're seeing obviously a lot of commentary on the discretionary spending, which is more muted. So it's interesting that you bring out. It sounds like they're relying on people like you for improving productivity and so forth. But switching gears, you know so you talked about RPM being flat next quarter, Analytics being muted. Now, as we go into next year, I mean is this a seasonal trend? Should we be modeling kind of the June quarter for the Analytics business flat to down every year going forward or this is just going to be one-off just because RPM dominates in the near-term?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: I think the RPM seasonality is something which is going to repeat itself year-on-year. We do think that Q1 is traditionally going to be a strong quarter for RPM, and then the spend will come down a bit in Q2. So, this is something which we would like to model each year into that Analytics business.
Anil Kumar Doradla - William Blair & Co. LLC: Very good. And congrats once again, guys.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Frank Atkins of SunTrust.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: Thanks for taking my questions. First question is on the Analytics side. I want to ask a little bit about the competitive landscape and what pricing is like.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes, hi, Frank. The competitive landscape in Analytics is very, very fragmented and very diverse. So, we see a number of different set of competitors out there, some very large global companies and some very small niche players that are embedded into some of our clients and prospect organization. The key is really that the demand for Analytics is exceptionally strong. The kind of predictive modeling capabilities that we have built and around our industry verticals these seem to be resonating really nicely and our win rates are pretty attractive within the Analytics segment. So, we think we are very well positioned as far as Analytics is concerned and compete against our competitors here. From a pricing standpoint, the pricing is largely stable and I think this is something which seems to be settling down quite nicely and this is an area where we do think we should be able to increase our margins as we move along year-on-year and we are focused on that.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: And I guess my follow-up would be on just gross margin goals for that Analytics segment. Where do you see that going? You mentioned some pricing, but what other ways can you drive margin in that business?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Well the Analytics business I think will benefit as we increase our size and scale and we are able to have a much better and higher level of utilization. The Analytics business for us also has a large recruitment cycle in the middle of the year where we hire from college campuses and we hire in advance of winning the business and deploying these resources, so the utilization rate will continue to improve as the size and scale of this business expands. We've also invested in new dedicated Analytics Center of Excellence in Gurgaon and as that utilization is fully absorbed, we would expect the margins to improve. Our expectation is that long term we'd like to see this business get to be closer to our 40% gross margin business from the current 36% that we are right now.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: All right, great. Thank you very much.
Operator: Thank you. Our next question comes from Edward Caso with Wells Fargo.
Edward S. Caso - Wells Fargo Securities LLC: Hi. good evening. The big question here for a long time there was discussion of sort of the optimal new model would be IT plus BPO and obviously a lot of that was offered by the IT-only competitors. Are you – we're not hearing that much, is that sort of theory fading here, and if BPO sort of standing on its own here for – and maybe why?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes. Hi, Ed. I think you're absolutely right. We saw the emergence of the IT plus BPO business model being propagated. About five years ago when the IT players started to invest into BPO, I think there was a period of uncertainty associated with clients, as they thought about the choices that they had whether to go with pure play service provider or to go with ITO plus BPO business model. I think over the past few years that story seems to have played out and it's becoming more and more clear that there isn't any real synergy between ITO work and BPO. The real value is delivered by a deep domain knowledge and understanding, by the ability to leverage technology and apply technology into the operations and by embedding analytics real time into the operations. And I think players like EXL are very well positioned to be able to benefit from that. So we're seeing less and less of bidding and RFPs which are on an integrated basis. We are seeing less satisfaction amongst clients that went down that path, and they are all reverting back to the traditional model. And I think the big play is really going to be how can we help them in terms of their transformation journeys and their transformation models and that really gets driven from the business side. So I think that change is definitely played out its role and is now playing in our favor.
Edward S. Caso - Wells Fargo Securities LLC: My other question is on, when you're looking at your pipeline of opportunities, how much of it is takeaways, expansion of existing clients and Greenfield opportunities?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure. It's hard for me to put a real number to it. I would say, most of our expansion and new wins are largely Greenfield and first time opportunities with our clients and that continues to be a dominant part of the business that we are winning. There are a few situations where we might win from our competitors, particularly where their business model may not be resonating nicely with the clients and the clients are looking for a much more impactful and value-added and a strategic partnership that can handle more complex work on a global basis and can be a consistent value adding strategic partner. So, for us still a large part of it is Greenfield and new work. The penetration rate in our business continues to remain low and the headroom for us to continue to expand and grow with these new Greenfield opportunities is very, very vast and enormous.
Edward S. Caso - Wells Fargo Securities LLC: Great. Thank you.
Operator: Thank you. Our next question comes from Bryan Bergin of Cowen.
Bryan C. Bergin - Cowen & Co. LLC: Hi. Thanks for taking my question. So first one on Analytics, can you just talk about the expansion there and really what the mix is between new and existing clients for the strong organic growth?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure. So in Analytics, we continue to have a very, very healthy mix of new clients as well as expansion from existing clients. Because we have two-thirds of our business which is structured on an annuity-based format, there is a strong growth component that comes in from our existing clients, but the number of new logos that we are adding on each year is fairly significant and is much higher for example than what we had on in our Operations Management business just in terms of the number of new logos of strategic deals in Analytics. I won't be able to give you an exact percentage of the contribution. But just like in our Operations Management business, the new clients in Analytics start-off with us with a project and it might be a small engagement that they'll initially work with us, and over a period of time, once they are convinced about the capability and the value that we are able to deliver to them, they will expand that relationship very, very significantly and also move to an annuity format. So these new clients in Analytics grow very, very rapidly over a period of time and for us to win new clients, it is extremely important and this is a huge white space that is available out there, and that's the reason why we have a dedicated sales force that is solely targeted on selling Analytics to our clients in the U.S. and the UK.
Bryan C. Bergin - Cowen & Co. LLC: Okay. My follow-up just on your BPaaS business, where does that stand as a percent of the total company and just the demand environment there?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: The BPaaS business for us is about 17% to 18% of our revenues. It is a business model that we are constantly investing in and continuing to push hard in terms of building up and scaling up our technology platforms and leveraging our capabilities out there. One of the facts that you would be able to see from our company's revenue and head count progression is that our revenue per head count has been increasing at a much faster pace. And our head count is not increasing as fast essentially because of this non-linear business model that we are able to deploy. It is something which we think ultimately will be an important differentiator and particularly for non-core areas of our client operations we think that there is a much higher chance of them using our BPaaS models, and the BPaaS models ultimately will be highly profitable and highly sticky as well.
Bryan C. Bergin - Cowen & Co. LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar from Citi.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Thanks. Good evening, guys.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Hi.
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: Hi.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): So, my first question is related to on robotics and RPA and perhaps timely given the agreement you signed with Automation Anywhere. But how does RPA robotics currently get incorporated into new contracts? What's the impact – what sort of productivity promises are you making in the context of deploying RPA, for example?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure. So for us, RPA is something which has become integral to new contract and pipeline acquisition purposes. The way new clients will engage with us is they'll be looking for a total productivity benefit over the period of the contract, let's say over a five year period, they'd be looking for a productivity benefit. RPA is one of the levers that we would use to provide that benefit to the client. At the end of the day, the investment that we are making in RPA is on three different fronts. Number one, we are making an investment to develop our own robotic bots, , which we can embed into our client operations. Number two, we are forming partnership like the one we've announced today with Automation Anywhere to leverage third-party software and third-party robotic automation tools and embed that into our client in operations. And the third area is for us to invest in the domain experts that understand how to leverage these technologies, integrate them in with our clients' infrastructure and make these useful and impactful. And we think that there is a tremendous opportunity for us to not only have an impact on new clients, but also to manage our existing clients and unlock a great amount of value for our clients and for ourselves.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Thanks. That was quite useful. I missed the attrition number you might have provided. Is there a material difference – first of all, I guess, if you could repeat the number and then is there a material difference between attrition and Ops Management and Analytics? And also that head count number that you gave 8% I think growth, how does that bake out across segments?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure. So the head count data and the attrition data is actually in our Fact Sheet, which has been uploaded on to the website.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Okay.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: The head count was at the end of Q1 2016 was 24,375 and the attrition for the quarter, the first quarter was 31%. So our attrition rate actually has come down year-on-year compared to the first quarter of 2015 and it's down significantly. Between Operations Management and Analytics, our attrition rate is much lower in Analytics as opposed to Operations Management, primarily due to the fact that a large part of the work that we do in Operations Management is done during the night shift and therefore, it does have a natural higher level of attrition. And then you asked about the growth in the head count?
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Yes. The growth in head count was what I was asking, well not the head count itself.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Well, the growth in head count was spread across all of our businesses in Operations Management and in Analytics. We don't provide a breakup of this by quarter.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Okay. I have couple of others, but they are smaller questions, I'll follow up later. Thanks.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Okay.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Yes.
Operator: Thank you. Our next question comes from Puneet Jain from JPMorgan.
Puneet Jain - JPMorgan Securities LLC: Hi. Thanks for taking my question. Follow up to Ashwin's question. What do you expect for productivity gains offer to customer this year? Do you see need to offer higher than usual benefits to clients given competition or RPA like you mentioned?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Hi, Puneet. It really depends on the client processes. As you know, robotics is very useful for repetitive tasks which are done at high volume. So, if these are simple repetitive tasks, which are done at high volume then RPA can be very effective. However, if you're managing complex domain specific fragmented processes, then RPA is not as relevant, but it's really the Business EXLerator Framework which becomes much more relevant and much more important. So, we use a combination of the RPA capability and the Business EXLerator Framework to provide benefits to our clients. Typically, our clients are looking for about 4% to 5% productivity improvement each year and over the life of a contract maybe over a five-year period that they're looking at about 20% to 25% productivity improvement. We would expect some portion of that to come from RPA, and the other to come from our Business EXLerator Framework. Typically, the portion that can come from RPA is about maybe a third to a fourth of the total benefit would come from RPA, but the larger piece will come from the Business EXLerator Framework, because most of the work that we end up doing for our clients is much more complex, much more domain-specific, much more fragmented, and that requires a complete restructuring of our clients' back-end processes.
Puneet Jain - JPMorgan Securities LLC: Understood. Now that helpful. And can you also talk about your partnership with Automation Anywhere? It seems like you are going to use their tool and lower TCO for your clients. So will you contract with them and how will revenue sharing work in that case?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes. So, our partnership with Automation Anywhere is a pretty comprehensive partnership that we've created. We have the exclusive rights to be able to access their technology and their capability. A number of their automation solution experts and implementation leads will work with us and we've got a dedicated team of resources at our end that are going to be working with them. We're going to be leveraging their capabilities with a number of our client relationships and taking them to our clients. In situations where we've got transaction-based pricing models, we'll make the investment and we'll get some sharing of the benefit out there. In other cases, where there is an FTE-based pricing model, we will be able to offer their bots to our clients and our service in order to be able to make a margin on that. So, it just depends on what kind of a format and business model our client wants to leverage and use.
Puneet Jain - JPMorgan Securities LLC: Understood. Thanks a lot.
Operator: Thank you. Our next question comes from Vincent Colicchio from Barrington.
Vincent A. Colicchio - Barrington Research Associates, Inc.: Yes, Rohit. You had a nice decline in the revenue concentration of clients top three and top 10 year-over-year, will that continue to progress that way as the year progresses?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes. Hi, Vincent. I think our objective is to continue to grow our business nicely. We're not really – if you take a look at our client concentration now with our top client being at about 7%, and top 10 being at about 41%, we think that that's a fairly well diversified customer portfolio that we've got. So, we are looking at continuing to grow our existing client relationships and adding on new client relationships, and the natural diversification that's going to be taking place is what we'll be looking for. There isn't a real compelling strategic priority for us to look at this one way or the other.
Vincent A. Colicchio - Barrington Research Associates, Inc.: Okay. And one more, what is the contract mix look like FTE versus non-FTE in the quarter and how do you expect that's progressed for the rest of the year?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Well for the total company, we've got around 30% of our revenues, which are on a transaction-based pricing or an outcome-based pricing model. And the balance is actually on an FTE-based pricing model. So, our hope is that as we continue to move forward that we can continue to have more of our engagements to be on a transaction-based pricing model or an outcome-based pricing model, and we would look to increasing that percentage as we go forward.
Vincent A. Colicchio - Barrington Research Associates, Inc.: Thank you.
Operator: Thank you. Our next question comes from David Grossman from Stifel Financial.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Thanks. Good afternoon, Rohit. Just wondering if we could – I missed this at the front end of the call, but you talked about both revenue segments sequentially in the June quarter and I think you talk about the consulting business staying a bit of a headwind and our Analytics being relatively flat in the June quarter. I think – I'm not sure Steve pointed that consulting ticks up in the June quarter or not just based on historical patterns. So when you roll that together with the operations to what you saw in the quarter, are you guiding the flattish revenue in the June quarter, was that the message?
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: Hi, David, this is Vishal. As I've said in my prepared remarks, we expect revenues to be around sequentially growing around 2%.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Is that constant currency or at actual?
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: On a constant-currency business.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Okay. And did you also make a comment about EPS or?
Unknown Speaker: EPS.
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: Yes. The EPS we also said in my prepared remarks, the EPS will come down. As you know typically, in Q2 we have increments that has an impact on our EPS and that will bring down the EPS quarter-on-quarter.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: All right. So salary increase will go in April 1?
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: Yes.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Okay. And then secondly, Rohit, there are obviously a lot of questions and a lot of talk about the use of automation and as you know, that's been out there for a long time and I'm just curious, understanding the technology is just maturing and probably much better positioned to use in your processes, how much the gains from automation are really responses to pricing and productivity demand of the customer base and commoditization within the industry versus opportunities really for you to drive meaningful margin improvement?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Right, David. I think the use of technology in business processes is definitely maturing and there are multiple options that are available to clients to leverage the technology. One is for clients to completely change their underlying core technology platforms and these are, of course, expensive changes that need to be made, these are long-term projects and the payback is over a much longer period of time. And then the second is to leverage some bolt-on tools used in robotic process automation or other technology tools that can be put in a non-intrusive manner on top of legacy platforms and provide the leverage and the productivity benefits. What we are seeing is some of the clients are shifting towards the second model and they are adopting this change in a much more aggressive way, because they can then get the productivity benefits, get a lower cost structure and, if needed, then they can make an investment in terms of changing the underlying core technology platform. The change of the underlying core technology platform is, by definition a highly risky bet. It's a high-value bet and it is something which doesn't always result in a benefit to the client. So clients are somewhat skeptical and somewhat cautious about taking that approach. What we've seen is in terms of productivity benefits, we can deliver somewhere close to about 20% to 25% productivity benefit over a five-year period using a combination of robotic process automation, some of the business process automation tools and leveraging our Business EXLerator Framework. And combined that with a lower cost structure of operating in an offshore environment, the client gets a huge benefit in terms of moving forward with our model and that seems to be resonating in the marketplace right now.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: And are you able then to capture meaningful incremental margin in that model?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes, I think there is a greater propensity to share margin and to share the gain and certainly that's something which is attractive about going down on this path, because you need to have a strong knowledge and understanding of your clients' business and if you do, you can actually get a much greater benefit by doing this kind of work.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: I see. Okay. And just I'm sorry I had one other question. I'm wondering, Vishal, could you just update us on the non-GAAP adjustments for the year including the FX gain or loss? Is there any change to your guidance from three months ago?
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: Yes. So we expect the FX gain for 2016 at the current guidance range which we had given between $3 million to $4 million. So I think that's gone up from the prior number of $2 million to $3 million because the rupee has strengthened from the last time I gave guidance which was at 68.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Okay. And how about stock-based comp and the amortization of intangible?
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: Yes. So we expect the amortization of intangibles to be in the range of $10 million to $11 million. Tax rate is the same as we had mentioned earlier and stock comps were to be in the range of $19 million to $20 million.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Did you say $19 million to $20 million?
Vishal Chhibbar - Chief Financial Officer & Executive Vice President: $19 million to $20 million, yes.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Yes very good. Okay guys. Thanks very much.
Operator: Thank you. I would now like to turn the call back over to Rohit for any closing remarks.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thank you, operator, and thank you, everyone, for joining our first quarter earnings call. EXL has had a very good first quarter and we look forward to continuing to execute in the second quarter and for the remainder of the year to meet our goals for 2016. We look forward to you joining us at the next quarterly earnings call which will be sometime in the end of July. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.